Operator: Good day, ladies and gentlemen, and welcome to the Cineplex Inc First Quarter 2017 Analyst Call. Today’s conference is being recorded. And at this time, I’d like to turn the floor over to Pat Marshall, Vice President of Communications and Investor Relations. Please go ahead.
Pat Marshall: Good morning. Before beginning the call, we’d like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management’s beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include among other things adverse factors generally encountered in the film exhibition industry, risks associated with national and world events, discovery of undisclosed material liabilities and general economic conditions. I’d now like to turn the call over to President and CEO, Ellis Jacob.
Ellis Jacob: Thank you, Pat. Good morning and welcome to Cineplex Inc.’s first quarter 2017 conference call. We are glad you could join us today. I will begin by providing a brief overview of our top line results as well as the summary of our key accomplishments during the first quarter. I will also highlight some of the most anticipated films of the summer films slate. At the conclusion of my remarks, our Chief Financial Officer, Gord Nelson, will provide a more in-depth overview of our financials. As always, once Gord has concluded his remarks, we will hold the question-and-answer period. Cineplex reported a record first quarter with total revenue of $394.2 million and adjusted EBITDA of $59.4 million, both up 4% versus the same period last year. Although the current period benefited from the strong performance of Beauty and the Beast, the prior period was a tough comparator with strong results from Deadpool, which had the all-time highest-grossing February opening weekend, combined with the record-breaking success of Star Wars: The Force Awakens, which continue to perform well into the first quarter of 2016. As a result, we saw our attendance with the first quarter of 2017 decreased by 4.8%. Attendance was also impacted by the under-performance of three films in Canada compared to the U.S. which included Hidden Figures, Get Out and Power Rangers as well as the timing of certain foreign language product. However, we continue to seek out our premium entertainment experiences which represented 44.9% of our box office revenue and resulted in a first quarter record BPP of $9.97. Media revenue continue to grow achieving a new first quarter record of $33.9 million; and amusement revenue increased 58.9% largely due to the acquisition of Tricorp Amusements Inc. and SAW, LLC completed in the fourth quarter of 2016. Gord will share the balance of our first quarter results with you in a few moments. Now I would like to highlight our key accomplishments during the quarter. Beginning with theatre exhibition, top performing films during the period included Beauty and the Beast, Logan, The Lego Batman Movie, Rogue One: A Star Wars Story and Sing, of which four out of five were available in premium movie-going experiences. We continue to continue to rollout luxury recliners in select theatres across the country with great success. We anticipate having a total of 15 theaters completed by the end of the year. Alternative programming for the quarter included performances from the Bolshoi Ballet from Moscow and the National Theatre from London, and encore performances of the Metropolitan Opera: Live in HD. Theatre productions were especially popular this quarter with strong results from Disney Music and National Theatre Live: No Man’s Land. Moving on to media, we continue to grow our cinema media business, which reported record first quarter results. This can largely be attributable to the sponsorships in other media associated with our eSports business. Digital place-based media experienced 3% increase in revenue for the quarter as a result of an expanded client base which contributed to higher recurring revenue. As reported earlier this year Cineplex Digital Media was selected by Morguard Investments Limited to install, maintain and operate 175 digital displays across 21 retail properties throughout Canada. Situated in concourses and high traffic areas, these displays will deliver impactful, interactive experiences for shoppers, including digital wayfinding and adverting that will support new store openings, retail promotions and upcoming events. The rollout is expected to be completed by the fall of 2017. With the addition of Morguard along with our partnerships with Ivanhoé Cambridge, Oxford Properties, and other mall developers, Cineplex now impacts approximately 50% of all mall traffic in Canada. In amusement and leisure, during the quarter Player One Amusement Group announced its acquisition of Dandy Amusements International, a leading amusement game machine operator in the Western United States. Strategic acquisitions like this one which closed subsequent to the quarter-end are an integral part of our diversification strategy. The addition of Dandy to Player One gives us course-to-course coverage and presence throughout the U.S. providing us a much broader and expanded market across the U.S. and Canada. The Rec Room continues to perform well in the first quarter of 2017. With construction well underway, we look forward to opening three additional locations this year including in Toronto at the historical Roundhouse, second location in Edmonton at the West Edmonton Mall and in Calgary at Deerfoot city. In March, Cineplex and WorldGaming hosted the Canadian Call of Duty: Infinite Warfare Championships at Scotiabank theatre Toronto, where teams from across Canada competed for over $65,000 in cash and prizes as well as the Championship title. Subsequent to the quarter-end, Cineplex acquired the remaining 20% of WorldGaming that it did not already own for $4 million. Moving on to SCENE, membership in the loyalty program increased by 0.2 million members in the period, reaching 8.3 million members as of March 31. Also during the quarter, SCENE launched a new mobile app that allows members to instantly browse the many ways to earn and redeem points, access their digital card and plan their night out. Overall, even with the decline in attendance, we achieved record results in the quarter as we continue our diversification strategy, this position Cineplex uniquely in a stability to deliver results for many different revenue sources. Now let’s take a look at some of the films for the summer. The second quarter is off to a good start as box office in Canada for the quarter-to-date is up 16% year-over-year, compared to North America which is up 4.4% as reported by Rentrak. Looking ahead to what’s installed for the quarter, on Thursday the sequel to the very successful Guardians of the Galaxy opens on May 4. Then on May 12, we have the Guy Ritchie film King Arthur: Legend of the Sword, the comedy Snatch starting Goldie Hawn and Amy Schumer. And the sequel Bon Cop, Bad Cop 2, the original is still the highest grossing Quebec made film ever. Johnny Depp reprised his role as Captain Jack Sparrow in Pirates of the Caribbean: Dead Men Tell No Tales comes to theatres on May 26. Looking at June, Wonder Woman will make their solo a big screen debut on June 2. Lightning McQueen returns on June 15 with Cars 3 and the Autobots role out again on June 23 in Transformers: The Last Knight. The summer reads up when Baby Driver speeds into theaters and everyone’s favorite villain Gru returns with Despicable Me 3 both on June 30. Moving to the third quarter, we look to return of one of our favorite superheroes in Spider-Man: Homecoming on July the 7. Then we have War for the Planet of the Apes on July 14. Legendary film director Luc Besson brings up his space adventure Valerian on July 21 and both Atomic Blonde with stars Charlize Theron and the animated film The Emoji Movie opens on July 28. That with many more big titles will follow for the balance of the quarter. As you can see the summer films they look strong and offer something for everyone. Before I turn the call over to Gord, we are also pleased to announce the 3.7% dividend increase to $1.68 per share on an annual basis from the current $1.62 per share. This increase will be effective with the May 2017 dividend tinted and which will be paid in June 2017. Now I will turn the call over to Gord.
Gord Nelson: Thanks, Ellis. I am pleased to present the first quarter financial results for Cineplex Inc. For your further reference, our financial statements and the MD&A have been filed on SEDAR this morning, and are also available on our Investor Relations website at cineplex.com. Before I’d begin, I would like to highlight a number of changes in the presentation of revenues in our financial statements. As a result of the recent acquisitions in our amusement solutions business and as we continue to develop and grow our amusement and leisure business, we have created a new revenue line for amusement revenue. We have reclassified the amounts that we’ve previously included in other revenue into this new revenue line. In addition to enhance comparability with exhibition peers, certain revenue from Cineplex’s enhanced guest services initiative, which are previously included in another revenue are now included with box office revenues. Our peer financial statement figures have been reclassified to conform to the current period presentation with details available in Note 11 on the financial statements and in Section 9 of the management discussion and analysis. For the first quarter, total revenue increased by 4% to $394.2 million and adjusted EBITDA of 4% to $59.4 million both first quarter records. The results for the quarter were positively impacted by higher amusement revenue, which increased 58.9% to a first quarter record of $41.4 million. Cineplex’s first quarter box office revenue decreased 1.7% to $195.4 million, compared to a $198.6 million in the prior year, as a result of an attendance decrease of 4.8% which was partially offset by a BBP increase of 3.3% to a first quarter record $9.97 up from $9.65 in 2016. The increase in BPP is due to an increase in the premium product percentage in the first quarter increasing to 44.9% of box office revenue in 2017 from 42.2% in 2016. The impact of premium price product on the average ticket price was $1.42 for this quarter as compared to $1.33 in the prior year. This was primarily due to the success of 3D product with four of the top five films in 2017 being released in 3D as compared to three films in the prior year. Food service revenue increased 1.7% to $113.9 million included in food service revenue was $2.1 million from The Rec Room. Excluding revenue from The Rec Room theatre, food service revenue decreased by 0.2% from the prior year, due to the decrease in attendance, partially offset by the 5% increase in concession revenues per patron to a first quarter record of $5.71. The CPP growth was primarily a result of increased visitation, basket size and expanded food offerings including those available at Cineplex’s VIP cinemas and Outtakes location. Total media revenue increased $0.8 million or 2.6% to $33.9 million for the quarter. Cineplex cinema media revenue, which was primarily theater-based, increased 2.3%. Digital place-based media revenue increased 3% due to increased recurring revenue offsetting by lower project installation revenue compared to the prior year period, which included installation revenue for the period for our deployment. Amusement revenue increased $15.4 million or 58.9%, due primarily to two acquisitions in the United States major in the fourth quarter of 2016. In addition, amusement revenue includes $2 million of amusement gaming and other revenue earned at The Rec Room. During the quarter, Cineplex announced the acquisition of Dandy Amusements International Inc., a leading amusement gaming machine operator in the U.S. – in the Western U.S. This transaction was completed on April 1, 2017. Turning briefly to our key expense line items, film cost for the quarter came in at 52.9% of box office revenue as compared to 54.1% reported in the prior year. The decrease in film cost percentage and the result of the reduced concentration of box office revenue from a select number of titles during the quarter as compared to the prior year period. Cost of food service for Q1 2017 excluding the $0.7 million incurred at The Rec Room was 22.3% as compared to 22.6% in the prior year period. Other costs of $206.1 million increased $16.7 million or 8.8%. Other costs include theater occupancy expenses, other operating expenses and general and administrative expenses. Theater occupancy expenses were $52 million for the quarter versus a prior year actual of $52.7 million. Other operating expenses were $132 million for the quarter versus a prior year actual of $117.6 million, an increase of $14.4 million. Major reasons for the increase include an increase of $10.9 million in amusement solutions expenses, primarily related due to the two acquisitions completed during the fourth quarter of 2016. An increase of $1 million, due to the impact of new and acquired theaters and that of disposed theaters $2.9 million in unit level operating cost related to The Rec Room and cost related to new businesses initiative included in WorldGaming Network and The Rec Room. These increases were offset by decreases in other costs including a decrease in same store theater payroll of $2.6 million due to decreased attendance levels and reduced marketing of $1.8 million, due to the timing of the expenditures. G&A expenses were $22.1 million for the quarter, which was $3 million higher than the prior year due to the higher head office cost including $1.6 million associated with a non-recurring past-service charge adjustment related to the supplemental executive retirement plan and higher professional fees, partially offset by lower cost associated with long-term and short-term incentive program expense. Subsequent to the quarter-end, we acquired the remaining 20% of the WorldGaming that we did not already own for $4.4 million and recorded a $1 million gain on change in fair value of financial instrument during the quarter. Net CapEx for the first quarter was $25.1 million as compared to $28.7 million from the prior year. We continue to estimate that our net CapEx will be approximately $125 million for 2017 and this includes approximately $25 million related to our recliner program. While box office results for the first quarter were down slightly from the prior year, we are pleased with the results from the recent business, and we’re optimistic about the remainder of the 2017 film slate. We continue to remain comfortable with our Cineplex Inc. is positioned today, our strong balance sheet and low leverage ratio allows us to continue to invest in future growth opportunities for the company and benefit from future strong film product. As Ellis mentioned, we’re pleased to announce 3.7% increase in the annualized dividend to $1.68 effective with the May dividend to be paid in June 2017. That concludes our remarks for this morning. And we now like to turn the call over to the conference operator for questions.
Operator: Thank you. [Operator Instructions] And our first question will be from Drew McReynolds with RBC.
Drew McReynolds: Yes, thanks very much. Good morning. Just Ellis, I just out of the gate here, can you provide just an update on the premium VoD window and where kind of the industry stands to-date on that. And then, Gord, just on the CapEx side, the $125 million for this year obviously includes $25 million recliner retrofit. Just bigger picture, looking at longer-term, do you assume that $25 million is one-time and you go down to more or less $100 million kind of recurring just given all the ramp up in the diversification? Not looking for specific guidance just more general kind of directional comments. Thank you.
Ellis Jacob: Thanks. On the VoD, as we continue to have discussions with our studio partners, but again, between the studio partners and the exhibitors we have to do the right thing for the industry and neither us nor them are looking to trade dimes for a nickel. So this is something that we continue to discuss, but there’s nothing new to report at this present time. And Cineplex as the company is well positioned with our Store where – today we have over 7,000 movies and we continue to see double-digit growth in that whole area.
Drew McReynolds: Yes.
Gord Nelson: Sorry, Drew. On the CapEx question, yes, the guidance have been – there’s an additional incremental $25 million to spend in 2017 relates to the recliner program. As we look at the potential success of that program, that amount could change and there could be additional spending in that. But if we look at future years, as we’ve mentioned, yes, we would expect that CapEx relate to exhibition with exception of my comment about the recliner program could tail off. And then as we look to expand the Rec Room and build out the Rec Room, it will replace that amount and we would remain at roughly that $100 million in the near term. Now we are working on, as we mentioned, developing model which could go on to mid-market, so I turned down and so that could change that amount as we look forward.
Drew McReynolds: Okay. That’s helpful, Gord, thank you for that. And maybe if I can just squeeze in one last one, obviously, again some nice numbers in early stages, but nice numbers on the Rec Room. Ellis or Gord just can you provide an update on kind of your observation to-date in Edmonton?
Ellis Jacob: We’re very pleased with the performance of Edmonton, the results to-date much stronger than we had projected. And we’ve got three more opening in 2017 and we feel we’re well positioned with the Rec Room and the benefits we see as far as the synergies and the interplay between our human capital and our infrastructure with the Rec Room.
Drew McReynolds: Okay. Thank you.
Ellis Jacob: Thanks.
Operator: And our next question is from Rob Goff with Echelon Wealth Partners.
Rob Goff: Good morning and thank you very much for taking my question. I realize it’s still early days, but could you talk to what initial observations you’ve had with respect to the recliners and that we’ve had Regal and states talked to where they have recliners, attendance was up by 9.5% versus 4.5%. So if you can just talk to on that, would be appreciated. Thank you.
Ellis Jacob: Yes, thanks Rob. And so far we’ve seen some strong results from recliners. We are getting the benefit of higher food sales in locations with refiners and we’ve been able to take some price increases. So overall it’s been successful, we just have to be careful in certain locations, because the capacity utilization as to whether we move forward or not, but so far it’s been extremely positive.
Rob Goff: Thank you.
Gord Nelson: Thank you.
Operator: And our next question is from Kenric Tyghe with Raymond James.
Kenric Tyghe: Thank you. Good morning.
Ellis Jacob: Good morning.
Kenric Tyghe: On the revenue reclassification, just with respect to the enhanced guest services, could you just remind us what specifically would be sort to reclassify it into that bucket or what those services are? I mean, think I have a pretty good handle on it, but I don’t want to make any assumptions on that. And just further to that, could you also give us some indication sort of over a longer period of time how those trended as a percent of actual box office just for modeling purposes?
Ellis Jacob: Yes. Sure, Kenric. On the – kind of the second part of the question, if you disclose the amounts by quarter to help as in the modeling side of things, if you want to, we have Section 9 of the MD&A, you’ll find detail up to the last eight quarters. So regards to the category, the certain kind of convenience related fees that are in addition to the box office prices, so we’ve really just want to include everything related to the admission and the entry into the theatre and the convenience related fees into one-line item.
Kenric Tyghe: Okay. And nothing, nothing more beyond that, so there’s nothing else beyond that in terms of experience, some of the other differentiators you have in your model that has been cleared into that other line item?
Ellis Jacob: No. As you can see, we actually expanded the amusement solutions business that was also included in other revenues. We really kind of lost the other revenue line was item such as breakage and theatre rentals, and screening fees. So it was really kind of a valuated what we want to leave in that line item.
Kenric Tyghe: Great, thanks. I appreciate it. And then just a follow-up with respect to amusement business, could you so of also speak to the expense leverage in the Player One Amusement Group, how that performance was in the quarter relative to expectations and how we should expect to see that evolve through the course of the year? Obviously, in quarter there were some expenses rolled up out there that we weren’t seen recurring, but perhaps how we should expect to see that scale through the year?
Ellis Jacob: In terms of the overall auction strategy in the space, it’s really been to executing create a national footprint to extract some of the operating synergies and revenue synergies in the U.S. that will also experience in Canada, so we did two acquisitions in the fourth quarter – announced one that was posted on April 1. So as we look to integrate these business and to growth them, it will take a number of quarters before you see, one the extraction of – some of those revenue synergies and the operating synergies. And then also just to kind of extract and remove some of the – sort of the more one-time cost related to executing the transaction and fees and professional fees related to those transactions. But as we’ve always said, that amusement sort of typical solutions business, when you blend the distribution side in the rev side of the side of the business – it’s a mid-teen type of margin business.
Kenric Tyghe: Perfect. Thanks very much, Gord. I will leave it there.
Operator: And we’ll take our next question from Aravinda Galappatthige with Canaccord Genuity.
Aravinda Galappatthige: Good morning. Thanks for taking my questions. I just wanted start with the digital place-based media; obviously you say very growth – a very good growth in 2016 and a good stream of new contracts more probably in the most recent one. I know that quality numbers are sort of hard to call because the sort of the project the installation – the project installation revenues. Maybe you can perhaps talk to sort of the full year expectations, do you still see strong double-digit growth in that line item. And then just that we appreciate the quarterly movement, how meaningful are those installation revenues at this point in that line item.
Gord Nelson: Yes. During the call, I usually provide a little bit color on the – a little bit more color on the installation base though. At the end of last year, we had about 11,100 locations under deployment, the first quarter of last year that number was – first quarter of 2016 that number was about 9,900 locations. And we’re about 11,900 locations deployed at the end of the first quarter of 2017. So about a 20% increased year-over-year, but 6% in the quarter, so as we’ve always said, we had a fairly – significant installation with The Bear Store last year. But the installation were a bit later in the first quarter then they were last year but we’re still looking at overall level, that’s going to be in the range of where we were last year in terms of the overall revenues. So during the first quarter in the last part of question was how significant our hardware sales in terms of the overall revenue in amounts and – so for the first – first quarter they were kind of in the low double digits between 10% and 15% of overall revenue.
Aravinda Galappatthige: Okay, thanks. That’s helpful. Gord just wanted to clarify what you said just before that about the full year number, is your expectation to see similar type of growth in dollar terms in 2017 as you did in 2016 or I wasn’t clear on that?
Gord Nelson: Right. That’s was in overall percentage.
Aravinda Galappatthige: Percentage growth. Okay, okay. Great, thank you. Thank you for that. And then just moving on to the exhibition side of things, you continue to see that underlying BPP growth excluding the premium formats it will continue to kind of tick-up I think it was about 1.8% last quarter, it’s 2.8%. Can you just sort of remind us what happening on the underlying pricing front, just so that we appreciate that inflation there?
Ellis Jacob: Yes, Aravinda. During 2016 in October, we took some selective price increases and you’re seeing the benefit of that flowing through. And then as you talked about hence the premium formats that are driving the balance of the increase, that’s taking us to $9.97, if you look at things like our D-BOX installed last year first quarter we were at 44% at the end of this first quarter. We were at 78%, we have 4DX, we have a lot of the premium formats and also our 3DX continues to outperform our peers and provide us some great opportunities with BPP growth. And then finally the recliners are another addition where you see continued benefits from a BPP perspective.
Aravinda Galappatthige: Awesome, great. Thank you very much. I’ll leave it that.
Gord Nelson: Thanks.
Operator: [Operator Instructions] We will take our next question from Derek Lessard with TD Securities.
Derek Lessard: Yes, thanks and good morning, everybody. You touched a bit on it in your prepared remarks, but I was just wondering if you can talk about the recent acquisitions of Tricorp and Dandy and maybe just what your strategy – overall strategy here is and some of the potential growth you see as well as other consolidation opportunities?
Gord Nelson: Sure, Derek. Look, I think you either familiar with the strategy that we executed in Canada where we acquired the two largest amusement solutions companies consolidated – extracted the operating synergies and we rolled out of concepts internally like Escape and now as we’re rolling out of Rec Room. This amusement solutions business is now a supplier to us. So it’s a wholly owned supplier into the space as we look to grow. That Rec Room business and the amusement revenue they are related. As we look into the U.S. we had as result the PSI acquisition of small footprint in the Southeastern U.S. The acquisitions that we’ve done today have really given us a national presence. So we’ve expanded from the Southeastern U.S. to the Northeastern U.S. and now Western U.S. and both the rev based business. So that supplying third-party customers and essence rev share models and as well the distribution business, so accessing equipment at low cost and selling the equipment to interested third-parties. As you what can you see location-based entertainment concepts growing both in Canada as we’ve roll at the Rec Room and in the U.S. as we see a number of concepts being built out and you hear about sort of the evolution of retail in the mall environment, we expect that amusement solutions will play a part in as we’re going forward and they will be built there. What was really done in the U.S. is now we’ve created a national footprint. We’re going to extract some of the operating synergies and take advantage of what we’ve seen as a growth in the space going forward.
Derek Lessard: Okay. Thanks for that color, it’s very helpful. And as well on the Rec Room I mean there has been talk of one of the competitors said earlier in the year that they were interested in Canada. Just wondering about your thoughts here and what you think your competitive advantages and does this change your plans in terms of the rollout in any way.
Ellis Jacob: We feel comfortable with our position given our brand in Canada, our loyalty program, the subset of segments and then what we have done to make it a unique offering. And so far from all of the feedback we’re getting is, people are extremely pleased about what we have done to create this offering in Canada.
Derek Lessard: Okay. Then maybe I’ll just squeeze in one final one, Gord, could you add some color maybe on the decline in the media EBITDA margin year-over-year.
Gord Nelson: The declines rate in the overall media margin. I mean really Derek, it wasn’t particularly significant that the media revenue was relatively flat in the segment, as you may be aware, we’ve allocated certain components of media revenue to the other segments – for the amusement and leisure segment also, which has been growing. So with that we’re sort of re-categorization of the segment offering. The media EBITDA would not look – because it’s gone down as it has in the financials, but it really didn’t go down significantly, it was up 53.5% last year as the margin percentage down to 49% really related to kind of the core time in the cinema exhibition business is relatively flat year-over-year, the cinema media business is relatively flat year-over-year.
Derek Lessard: Okay. Thanks for that guys.
Operator: We’ll take our next question from Jeff Fan with Scotiabank.
Jeff Fan: Thanks and good morning. My first question is on the film cost as you look out through the rest of the year. I know it’s hard to predict winners and losers, but as you look out in terms of what you would expect on concentration around films and studios, wondering if you can kind of give us some comments on the film cost percentage as we look out the rest year, especially compared to last year which seem to be a really tough year on that front. And then the second question is related to the recliners. It sounds like the experience so far has been very positive. So I guess my question is, if that is the case, why are you thinking about not explaining that to more theatres as you look out to 2018 and beyond? Thanks.
Ellis Jacob: So, on the film cost, as you mentioned, it has a lot to do with the concentration of successful movies. And the more movies provide us with doubles and triples instead of just home runs you end up with lower film cost. But on the flip side, we do want those home runs because they increase our box office revenue which drives the attendance and also drives the bottom line. So it’s very hard to predict from quarter-to-quarter what the substance that’s going to be from an overall percentage basis. But needless to say, if the box office does go up substantially, you’ll see an increase in the film rental and vice versa. And on the area of recliners, again as I mentioned previously, we are looking at it in many locations across the country, but we have to also be careful based on the capacity utilization in some of these theatres, because you do lose a lot of capacity when you do put in the recliners. So we are being very opportunistic and have been quite successful in what we’ve done so far.
Jeff Fan: Okay, thank you.
Operator: It appears there are no further questions at this time. I’d like to turn the call back to Ellis Jacob for any additional or closing remarks.
Ellis Jacob: Thank you for joining us this morning. We look forward to seeing you at our Annual General Meeting 10:30 AM on May 17, 2017 at our Cineplex Cinemas Yonge-Dundas and VIP. Please mark your calendars for that date. Thank you so much and have a great day.
Operator: That concludes today’s call. Thank you for your participation. You may now disconnect.